Operator: Good morning and welcome to GAP's Fourth Quarter 2021 Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation, we will open the floor for questions, and at that time instructions will be given if you would like to ask a question. It is now my pleasure to turn the call over to GAP's Investor Relations team. Please go ahead.
Maria Barona: Thank you, and welcome to the Grupo Aeroportuario del Pacifico's fourth quarter 2021 conference call. Presenting from the company today, we have Mr. Raul Revuelta, Chief Executive Officer; and Mr. Saul Villarreal, Chief Financial Officer. Please be advised that forward-looking statements may be made during this call. These do not account for future economic circumstances, industry conditions, the company's future performance or financial results. As such, statements made are based on several assumptions and factors that could cause actual results to materially differ from current expectations. For a complete note on forward-looking statements, please refer to the quarterly report issued on Tuesday. Thank you. At this point, I will turn the call over to Mr. Revuelta for his opening remarks. Please go ahead, sir.
Raul Revuelta: Thank you, Maria. Good morning, everyone, and welcome to today's call. 2021, one of the more significant years of GAP trajectory. Not only did we navigate through one of the most challenging periods in the industry, we did it while at the same time achieving the best result in the history of GAP. Traffic across our operations continued to recover during the last quarter of this year, reaching almost 43 million passengers in 2021, 57% up compared to 2020 and down only 12% versus 2019. For the second year in a row, GAP was the largest airport operator in Mexico with a traffic decrease of only 9% representing around 32% of the total market. This performance was mainly driven by the outstanding growth experienced in the Tijuana and Los Cabos airport. The Guadalajara airport has had a slow recovery that was mainly due to the business travel market. It is important to note that the Guadalajara to Mexico City route is the one that has faced the most challenging recovery of all our routes. In addition to routes to all the metropolitan airports, for example, Guanajuato and Hermosillo. The passenger traffic at our Jamaican airports also remained fairly impact during 2021, by governmental traffic travel restrictions related to COVID-19 virus. Our aim is to mitigate the impact. Therefore, we continue working closely with governments trying to secure additional routes on purpose. As evidence of this, during the fourth quarter. GAP launched 12 new international routes and four domestic ones. We are happy to announce that during December of 2021 for the first time in the history of Guadalajara, we open a direct route to Europe; the Guadalajara to Madrid route with three frequencies per week. GAP also announced that looking forward to 2022, we will be opening new routes to Europe, including Puerto Vallarta to Manchester, Puerto Vallarta to Gatwick and Los Cabos to Madrid. Moving onto the revenue performance, excluding IFRIC, during 2021, the revenue increased about 9% compared to 2019, which is MXN15.6 billion in 2021. Aeronautical revenues increased by 13% versus 2019, driven mainly by the recovery in passenger traffic as well as increase in maximum tariffs. On the commercial side, we continue supporting our tenants via discounts over the minimal rental fee, which we discussed in the past calls. These discounts are now more through back fees as passenger traffic at most of our rural airports has recovered to about 2019 levels. What this mean is that we see it at the end of the discount programs in the near future, which will signify that we will be going back to the revenue share fees as per diluting our tenant contract. Additional spaces and the renegotiation of past due contracts had offset commercial revenue decline by only 2%, which is minimal compared to 2019. Food and beverage revenue and duty-free stores accounted for most of the recovery, both surpassing 2019 levels. This was offset by the lagging revenue from VIP lounges and Advertising, which had been impacted since the beginning of the pandemic and have been struggling to retain their COVID levels. In 2021, EBITDA was MXN10.9 billion, which was the result of various factors, including an outstanding passengers traffic recovery, the tariff increase, and higher commercial area spending per passenger. This was partially offset by the increase of cost of services, mainly due to the full consolidation of the Kingston airport, considering that there were only 13 airports, and in other words, in 2019 versus 2021, the increase in the cost of service will be only 3.6%. The cost of service also route to rose to the opening of new commercial spaces in Los Cabos airport as well as the new VIP lounge. The personnel headcount also increased as a result of the size of the construction projects we've planned to execute in 2021 and the following years. As well as the minimum wage increase in Mexico direct fixed cost for maintaining, janitorial and security services. In addition to the change in the revenue, the tight cost control measures implemented during 2020 were rather used in the 2021 in accordance with the passenger traffic recovery experienced in each airport in order to maintain quality of service as traffic is creeping. It is important to mention that EBITDA figures represent an 11% increase comparing to 2019, reaching an EBITDA margin of 69.7% despite the limited recovery of total passengers. On the balance sheet front, cash and cash equivalents reached MXN13.3 billion at the end of this year. Debt at the end of this year was a total of MXN27.9 million business. According to these, we continue to, with a healthy level of -- level, we got net debt-EBITDA ratio of 1.3 times. There is a maturity payment of MXN1.5 billion, that is due in the first quarter of 2022, corresponding to the GAP 17th bond certificate, and this will be refinanced through a bond issuance in the coming weeks. Moving on to the CapEx, in the Guadalajara airport, we continued with the construction of the second runway as well as the new commercial mixed use building, which will include 180 hotel rooms, corporate office as well as the commercial spaces. And we expect that this building will be completed during 2023 and we look forward to sharing those updates with you in the future communications. In Tijuana, the construction of the terminal processor building progressed. We expect that it will be finalized towards the end of March of this year and we will start operation on April of 2022. These new buildings are  project that will add around 40,000 square meters. We will completely renew the viability and success of the airport as we have seen in the past years. Not only will it bring the capacity up to welcome more flights routes and frequencies, but it will rarely expand our ability today service international markets complementing the great functionality of cross-border bridge. Los Cabos will continue to expand international terminal building that we add around 20,000 additional square meters, which we also add commercial spaces. The construction project have reached 50% of progress. Additionally, we are currently working on the design of the second terminal building, Puerto Vallarta, which we expect to initiate construction during the third quarter of 2022. Moving on to the ESG, we are proud to announce that GAP was included into the Bloomberg Gender Equality Index. This referring index measure gender equality across five pillars; female leadership & talent pipeline, equal pay & gender pay parity, inclusive culture, anti-sexual harassment policies, and pro-women initiative. The index include 418 companies around the world, and Mexico only 10 companies were included. Regarding the GAP Foundation, I just want to mention that during 2021, we operated 12 community centers and one at each of Mexican airports, where employees under communities have access to elementary, middle and high school as well as to technical training courses, designing  their professional skill and knowledge. These tools which provide via the Foundation surpass the having better opportunity in the future. During 2021, we provided training and education to more down 80,000 students. In respect of GAP schools during 2021, we operated the first middle school and we keep the operation of the three elementary schools. In 2021, we have more than 1,000 full time students. For GAP, there is a lot to look forward. We know that challenges are always on the horizon in the industry, but we are confident that the future is built here. Together with our team and our partners, the airlines and the passengers, thank you all for your support and your attention. I will ask the operator to please open the floor for your questions.
Operator:  And we will take our first question from Guilherme Mendes with JPMorgan. Please go ahead. Your line is open.
Guilherme Mendes: I have two questions. Actually the first one is on traffic performance. What are your expectations on -- regarding traffic especially now post the Omicron situation? And the second one regarding the Jamaican operations, how is the discussion on a potential rebalance be involving? Thanks.
Raul Revuelta: Thank you, Guilherme. Let me begin with our expectations for this year in terms of traffic. First of all, it's important to remember that at least the first quarter and part of the second quarter will have some very easy comps. So we will see a great increase on passengers on these when we compared with 2021. After that, we're going to see a more line of recovery. I will say that we are seeing a double-digit growth on traffic. So, at the end of the day, today is still being difficult to think, if all the impact of the COVID we saw already in the past. So it's something that could continue. I am -- we expect that gradually the business travelers will come back to the airports. We will go back to the exposition and we'll come back to the different cities and continue more normality way. But I will see that at least from the information that we have today, we expect to close the year with our record year of international passengers for GAP and also we are expecting that the full recovery of almost all our airports. In the case of Jamaica, for sure, it will depend of -- the time and the policies that the Jamaican government fully opened for operations on the island. We will see that gradually that the policies against  in Jamaica, we will open again the market. So, we also expect a gradual recovery in our Jamaican airports. But for sure, we are in discussion about any additional impact that COVID could bring to the market. But to conclude, I will say that in general terms, we expect that the biggest part of our airports will be in a record year. We will see a more -- a great recovery that will continue in the leisure business and this is relatively different routes and we're still seeing a rather weak or slower recovery on business for at least the first half of this year.
Guilherme Mendes: Okay, very clear. Thanks. Just one quick clarification. In Jamaica, are you still discussing a rebalance with the government?
Saul Villarreal: Yes, Guilherme. Let me try to explain you. Thank you for your question. Yes, we continue talking with authorities about the rebalancing proposal we submit in November 2020. However, they have been facing some problems confirming the specialist team that will be negotiating with these rebalancing. As you may know, we have two independent discussions about Montego Bay and Kingston. And we are pushing and trying to meet and to try to discuss, but we have to start yet. We have a couple of meetings next month and we will try to push and move forward in a speedy way because obviously we need to have certainty about the rebalancing proposal, but we are in middle of the process.
Operator: We'll take our next question from Pablo Monsivais with Barclays. Please go ahead.
Pablo Monsivais: Thanks for taking my question. I just have a quick one. In terms of the maximum allowed tariff, how close are you to reach 100%? And what is your view on how inflation is evolving, I don't know, if you can shed some light on that? Thank you.
Saul Villarreal: Hi, Pablo. Thank you. Thanks for your question. Yes, you're right. We haven't reached the 100% of the tariff. 2021 have high inflation with the tariff, where it's impossible to reach the 100%. We are expecting for 2022 to be closer to the 100% that we just have in the previous years, but it's complicated that we have two times per year to adjust our specific tariffs. In '21, we couldn't adjust enough. And for 2022, we are expecting, not 100% but just to be close to that, 97%, 96% of the maximum tariff. That's our target. It depends in inflation and it depends on the exchange rate, which is an important in the formula for the maximum tariff also.
Pablo Monsivais: Saul, if I may, for modeling purposes, how much and when are you increasing the tariff this year?
Saul Villarreal: Hi, Pablo, I will say that the first increase already occurred in all our airports at the 1st of January. And we will have an additional increase for just the two hours in the case by Vallarta, Cabos, Tijuana, Guadalajara that will be in place in May of this year.
Pablo Monsivais: And do you have a sense of the magnitude of increases that you are expecting throughout?
Saul Villarreal: Well, the magnitude, Pablo, is you know that -- do you know that we manage the tariff adjustment for specific tariffs according to each airport. So at the end, our target is to reach the 96%, 97% of the maximum tariff. And we adjust the tariff for the airlines, and the personnel charges both and it depends on each airport. We cannot say a specific percentage, because we make a different adjustment depending on each airport.
Raul Revuelta: Yes, but it's important that it will be at least the production inflation  production product inflation rate index. It will be at least at that level, the increase of each one of our tariff. I will say in some specific cases depending on our foreseeing on the dollar exchange, it will be a little bit higher or a little bit lower. But at least in all our tariff, you will see an increase that we are taking account the product -- the production product inflation index.
Operator: We will take our next question from Alan Macias with Bank of America. Please go ahead. Your line is open.
Alan Macias: Just one question on dividend payments, what can you really expect for this year? And any comments you might have on dividend policy? Thank you.
Saul Villarreal: Hi, Alan. Thanks for your question. Yes, we are ready to make the proposal for -- to the Board of Directors. We are going to release the agenda for the General Shareholders' Meeting for this year and we will release it next week. Then we will continue with our policy in previous years as you know, GAP is one of the highest dividend payments companies in Mexico. So we will continue with that trend and we -- once we release the agenda, you will see our dividend proposal. But the general comment is we will continue with our previous policy.
Operator: We'll take our next question from Gabriel Himelfarb with Scotiabank. Please go ahead.
Gabriel Himelfarb: Congratulations on the results. Can you give us a bit of color about Tijuana connectivity? Do you think that Tijuana could add more exposure to international routes to, for example, Asian destination and become like a breach point from Asia to the U.S.?
Saul Villarreal: Yes. Hi, Gabriel. This is Saul. I will say that in general terms as everybody knows Tijuana has a really great exposure on domestic market. We have 34 direct routes from Tijuana. We are the second airport in Mexico with more direct routes, just after Mexico City Airport. So that give us a key strength for seeing a more important or to begin to be . In the past, Tijuana already operates two routes to Asia which is Tijuana to Shanghai and Tijuana to Beijing. One of these -- one of the key factor that may have developed the new terminal building in Tijuana is to eye into our product and catch international passengers to the area. I mean we are trying to bring international planes to Tijuana airport, and in some way taking the advantage and leverage of the market of South California to attract those routes. So with the new terminal building, we will be able to attract additional routes. For sure, what we think that's going to happen in the coming years, it will be a gradual composition of what could be -- or a gradual transformation of what could be an important hub for the country. But at the very beginning, we will be -- you know we expect to see some routes to Central American markets first, then some specific hubs at the South that could be Panama. We also are expecting to see direct connection, direct routes to some of the biggest hubs in the U.S. And after that, for sure, we will try to recover the flights that we just to have to Asia. So in general terms, I will say that, for sure the new facilities will give us the chance to attract new passengers. The international passengers in some way with the connection with South California we know that will be in some way easier to begin some direct routes to Asia and to Central America and South America. So this will be gradual. But the great news is that we will have the correct facilities to begin to attract these specific international routes and we are operating these terminals for the Easter, for the Semana Santa in Mexico.
Gabriel Himelfarb: Okay, thank you. And how much do you think of the demand you're going to capture from, for example, the San Diego Airport or maybe a little bit operating in LA or San Francisco?
Saul Villarreal: I will say that it's difficult to talk about a specific proportion that we could in some way attract from other airports. But I will say that in the other hand, for instance, San Diego Airport is completely -- packed completely full. They don't operate 24 hours per day. They only operating until 11 in the night. So we have a great opportunity to attract some additional passengers to our airport. For sure, I will say that today Tijuana is one of the most important windows to attract South California market that's going to the different Mexican beaches, that is something in the past we don't used to have. I will say that in last three years, we completely compared that market. So we have a really important market from Tijuana to Cabos, to Vallarta, to La Paz, to different Mexican beaches in Mexico. And I will say that we almost fully attracted that route, and we have an important decrease in goods from San Diego Airport to the different Mexican beaches. So, I could say that at great part is at the product that we are putting in the market of South California, the Mexican beaches, we have really competitive airport with really competitive airlines in terms of air routes. We are really having a great success on that strategy. For sure, the long-term strategy will be, I will say, slower and rather weak, but we expect to attract different long hauls and international services to the airport.
Operator: And we will take our next question from Naoki Otsuka from GBM. Please go ahead.
Naoki Otsuka: Thank you for taking my question, could you give us some color on the commercial front, given that the company posted strong numbers.
Raul Revuelta: Yes. Ever since from -- in our commercial programs we will, one of the key parts for sure is transform different layouts in our airports. A key part in our strategy is to keep fresh experience on the commercial area. So, we are changing different layouts in our airports. For instance, we are just changing completing the commercial layout for the terminal two at Los Cabos that will help us to increase the revenue, the commercial revenue that we will see on this year. Also, we have the exchange on their layouts happening on Guadalajara airport in  that will be ready for December for instance. But in general terms, first, we are having a chance for reviewing and changing our layouts, bringing view new brands and keep the tickets of high as possible. That is first of our strategy, then in the second part is how to explore the new -- the new area, higher areas that we are developing with the growing of our terminal. In that site, for instance, we are opening for the end of the year, a new food and beverage area in Guadalajara airport. We also had the square meters on Los Cabos airport on the coming year, we will see a completely new offer of commercial area that will include a new terminal at Puerto Vallarta. Also the new terminal in Tijuana, the connection terminal in Tijuana. We will add additional  that we will put on service in a couple of months. So I would say that in general terms in this second strategy, we need to take advantage of all the additional meters that we will develop during this fiver-year periods for adding commercial offering in our terminals. And the third part is related with the directly operated business by us. On that front, we are having great increase, so we will see an increase of number of point of sale for our convenience stores in the market, we will increase in at least 20 point of sales in the couple two -- in the next two-years that will for sure boost our revenue on the community stores. Also, in the alliance of business directly operated by GAP, we are implement our new strategy on the FBO for the case of Cabos. We think that we have a great impact on the revenue for that specific deal in this year. And also finally, we are -- we expect that to operate new business directly off could be the  and that's to say is under construction today and we expect to open in 2023. The next step in the hotels, would be Tijuana. Today we are developing the business plan and review how it is going to be, the project of hotel in that area. But in general terms, I will said that our strategy could be in these three  pillars, that is related first to have been really to capture better consumption in the terminal, second related of how do you develop the new spaces. And third, how can we boost the revenues in the business that are directly operated by GAP.
Operator: We'll take our next question from Filipe Nielsen with Citibank. Please go ahead.
Filipe Nielsen: Hi, everyone, thanks for taking my questions. I have two questions. I'll start with the first one. Can you refresh our memory a little regarding the potential of interest in airports outside of Mexico and aside of from Barbados do you -- do you see -- do you looking at anything else, anything new options interesting in terms of South America and especially in Brazil.
Raul Revuelta: Hi Filipe, thank you for your question. Yes we are continue in the process of the Barbados Airport, it is the only one that we are already prequalified. We are expecting only that the final RFP to bid for the airport. So that's in the standby. In the case of the Brazilian airports, right now, there are three run by us of three different, one run by with three different clusters, we have reviewed these clusters and we are not interested thus far.
Filipe Nielsen: Okay, great. So you're not interested, is there any specific reason for this, not being interesting?
Raul Revuelta: Yes, I mean in the sense of the Brazilian markets, I would say that, first of all we are in a really competitive market in terms of all the  values going into the dealings. And if we see the past results on the billing, the multiple of -- EBITDA multiples of acquisitions was really, really high. And we say that in general therefore GAP, we always would want that any kind of acquisition would be accretive in terms of value. So, one of the key points that we are seeing, it's also one of our strategy. We view first which could be at the general terms of value and if this would add value to GAP and we accretive of value. The second part is related of our, which are our main clients, which are the kinds of markets that we serve -- we serve, for instance when we gave the step into Jamaica, we clearly know that airlines that operates over there are already clients of GAP. I would say, America, Delta, Germany, all the  airlines and it was mainly operated in a lesser market.  that could be exactly the same way we will operate in marketing the  deal with airlines as to be in Cabos or Vallarta. So in general terms, I will say that we feel more comfort on airport that in some way could share markets with us or would be in some way that we share clients and that would in some we view as the chance for negotiate package for new seats for instance. So in general terms, I will say that for international expansion we are going into these two lanes, the kind of the market and second, the possible competition for other business that could make a really expense deal that will not create value to the company.
Filipe Nielsen: Many thanks. Super clear. And the second one is regarding tariffs, you said already that your tariffs are, you're expecting to reach near 100% of the maximum tariffs and those are related to inflation, but I was wondering if you see any correlation between oil prices affecting this, the raise of tariffs and other like interest rates and other aspects pushing your tariffs as well.
Raul Revuelta: Yes, I mean, for sure, with the news of Ukraine yesterday, I would say that we are really cautious about what's going to happen with the product price index in Mexico, because at the end of the day, all the news that we are seeing is at least, oil and gas to have an additional increase on inflation for at least in the short term. So, for sure, we are beginning to see that we could face an important inflation during this year. That also will give us the need for mainly push a little more our tariff. The tariff that will be in some way difficult is that in terms of our concession, we only have two windows to change tariff. We already used a first one in January. So, we are expecting for the middle of the year due to maybe change a little to adjust our tariff in line with what is happening with inflation. On the other hand, we have some of offset in the tariff that is related with the exchange rate. In terms of our maximum tariff, when we have some increase on dollar as you know, all passengers -- international passengers fees for instance are in dollar are especially in dollars, but our concession and the way that we fulfill the maximum tariff is in pesos. So, any change or increase on dollar versus pesos will give us in some in way the chance to fulfill that in a better way the maximum tariff for this year. But, I mean, we really are trying to see how good it will be in the coming months. Because with the last news, I would say that some of our previous assumptions will change.
Operator: We'll take our next question from Alejandro Zamacona with Credit Suisse. Please go ahead.
Alejandro Zamacona: Hi, Saul. Sorry, if you already discussed it, but I got disconnected a couple of times. So, I am having connections -- problems with my connection. So, just a quick question on the cost of service. At what extent do you believe it could be continuing to increase in 2022 or what could be a normalized cost of service per passenger going forward?
Saul Villarreal: Thank you, Alejandro. Well, we will continue adjusting the cost of service in the way we are improving the passenger traffic. I think the best way to see it is in the EBITDA margin and we will continue at the level of 69% to 68%. We had a very good margin this year 69.7 for the full year, after the year of COVID and it was a very good result. Then we cannot continue pushing down the cost of services. We have to normalize the maintenance, the janitorial, the security services in terms of headcount, we have to add more headcount. The challenge in CapEx has to be deployed, and we have a great challenge there. So, we have to reinforce our head down. So, there are several issues to consider not -- it's not only to think that the cost control that we implemented in 2020 could continue. So I think in our best approach in the cost of service is to maintain the operation of the airports, the great level of service and comfort for the passengers and obviously the level of security needed in our operation. So, we will continue looking that the cost of service will be increasing a little bit and normalized at the level of an EBITDA margin in the range of 69 to 68 in that range.
Raul Revuelta: And I will add, this is Raul, that as you know our business is really a business of economy of scale. So, each time that we open a new terminal or increase the square meters of that terminal, we'll have in the first moment a jump in terms of the cost per passenger. As we begin to capture the additional passengers, we will begin to decrease the cost per passenger. So in general terms, always the cost rise for the passengers when we open new facility. So I can say that we are going to have some of that trend in some of our airports. So the areas that we are increasing, but the   to remember that as an economy of scale as soon as the passengers begin to use the new facilities and we are beginning to gaining additional passengers, the cost per passengers will begin to decrease again.
Alejandro Zamacona: Okay. Thank you, Raul. It makes sense and then my second question  is still a blow up on the  Jamaica, I understand that you are on the lead process, but what are the previous expectations if there are any on this -- on the potential outcome for these negotiations  in terms of CapEx.
Saul Villarreal: Well, Alejandro, our intention is to adjust, in terms of the CapEx and in terms of the operating expenses. We cannot ask for adjustment in tariffs, it's almost impossible to increase tariffs and give the entire support of the rebalancing proposal in tariffs, then our approach is to negotiate with the authority, defer the CapEx program or defer the main projects, once we reach the passenger traffic before turning 2020 and that's the main intention, obviously in middle of the negotiation could raise some other options, but we can -- first, we have to begin with this process. As I said before, we submit our rebalancing proposal in November 2020. Therefore the -- we are expecting for more than 14 months for deep conversation with the government regarding this and they have been deferring the beginning of the negotiations. In the following weeks, we will be in Jamaica to different meetings with different instance of the government in order to try to push forward the negotiation.
Operator: Now we will take the webcast questions. I will now turn the call over to Alejandra Soto.
Alejandra Soto: Thank you. We have some questions from the webcast. The first one is from Pablo from MetLife and it says, could you give us some guidance of the CapEx that will be deployed during 2022, 2023 and 2024.
Saul Villarreal: Yes. Thank you, Pablo. Well, the level of CapEx, as you know we have to fulfill the 100% of the commitment with the Government of Mexico and the Government of Jamaica. In the case of Jamaica, as we said, we are in the negotiation process, but in any case, we are doing some relevant investments in these airports for Montego Bay and for Kingston. In the case of Mexico, we have a great challenge for this year in real terms. We will deploy around Ps 6 billion of the MDP and we are going to make a very significant investments in terms of commercial, as Raul said, we are under construction for mixed-use, building that will include 180 rooms hotel, offices, corporate offices, commercial areas in the Guadalajara airport. We are in the process of funding Los Cabos airport. We have the significant investment underway for Guadalajara airport and that's for 2022. If we look for the three years and '22, '23 and '24, our total investments Ps 15 billion. It would depend on inflation, and we will depend on the commercial projects also. But for this 2022, we are making some significant investments in Guadalajara airport.
Alejandra Soto: Well, thank you Saul. And the next question also from Pablo says that. Are you planning to write more debt beginning the coming bond that will be taking place in the following weeks.
Saul Villarreal: Yes, Pablo, we are going to raise additional funds. We -- our plan is to maintain that thing in level of leverage. Of course our financial strategy is to leverage the 100% of it and refinance all the . So we will continue with this strategy, with this plan for the following maturities. We have in March, Ps 1.5 billion of bond debt maturity and we have also the -- for November, Ps 2.3 billion of maturities. So we are going to finance all this and we will continue with that -- with the same -- with the same strategy of leverage.
Alejandra Soto: Thank you. And then we have another question from Carlos from , what are your margin expectations going forward given the traffic is almost our 2019 levels?
Saul Villarreal: Thank you, Carlos. Well, we are going to see the same range of EBITDA margins 69, 68, 2021 was a very good year considering the circumstances of the pandemic, 69.7% it was one of the highest EBITDA margins in the story of the company. For the following years, we will continue to see this range. We did not expect to reach 70% or more than 70%. We have to consider that the future expansions will bring our operational costs and additional headcount. So it will come with -- it will come with the most additional costs once we have more and more expenses. So we had more commercial revenues, we have more  we have more aeronautical revenues, but we also have cost of services and all the additional cost of operation for these additional areas. So, to be fair, the range 68 to 69 up to 70 in a good year that's enough to see it.
Alejandra Soto: Thank you, Saul. And the other one was already answered. It was about the cost controls. So thank you.
Saul Villarreal: Thank you.
Raul Revuelta: Thanks a lot.
Operator: And now I would like to turn the floor back over to Mr. Raul Revuelta for any closing for any closing or additional remarks.
Raul Revuelta: Thank you very much for your attention. Before I conclude, I just want to mention that the GAP Day 2022 will be this year in Tijuana. It will take place on March 24 of the Tijuana airport, where we will be touring the new terminal processor building as well as the cross border bridge. We hope you can join us for our morning of management presentation and more information of future projects and outlook. Please contact our Investor Relation teams for more information. Thank you all. Have a nice day.
Operator: These does conclude today's program. Thank you for your participation. You may disconnect at any time.